Operator: Good morning. My name is John and I will be your conference operator today. At this time I would like to welcome everyone to the DuPont quarterly investor call. All lines have been placed on mute to prevent background noise. After the speakers' remarks there will be a question-and-answer period. (Operator Instructions). In the interest of time, management requests that you limit yourself to one question and one follow-up question and please pick up your handset to allow optimal sound quality. If you have additional questions, you may reenter the queue. It is now my pleasure to turn the floor over to your host, Carl Lukach, Vice President of Investor Relations. Carl, you may begin.
Carl Lukach: Thanks, John. And good morning everyone and welcome, thank you for joining us today for DuPont first quarter 2013 performance call with investors. With me this morning are Ellen Kullman, Chair and CEO; Nick Fanandakis, Executive Vice President and CFO; and Jim Borel, Executive Vice President of our Ag, Nutrition & Health segments. The slides for today's presentation can be found on our website along with the news release we issued this morning. During the course of this conference call, we will make forward-looking statements and I direct you to slide 2 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures and request that you to review the reconciliations to GAAP statements provided with our earnings news release and on our website. I would like to highlight for several changes that we’ve made this quarter in our reporting materials. We will now refer to operating earnings which excludes non-operating pension costs and significant items. We announced this reporting changes in December last year and believe this better reflects the ongoing performance of our businesses. In addition we have also made a number of simplifications and additional disclosures we hope will make it easier for you to understand our performance and reconcile to GAAP results. With that introduction it's now my pleasure to turn the call over to Ellen.
Ellen Kullman - DuPont - Chairman and CEO: Good morning and thank you for joining us. I am pleased to have this opportunity to review how our company performed in the first quarter and against our growth and value creation plans. Our results for inline with what we expected and communicated to you three months ago. DuPont reported $1.5 billion of operating earnings or $1.56 per share on revenues of $10.4 billion, our employees executed well against our business plans and face a wide range of market opportunities and challenges in global markets. And despite the challenging environment in Europe and a few other markets, our strategies for long-term growth are working. In agriculture we had record setting sales and earnings that reflect strong, firmer demand for our products, especially our latest corn seed hybrids and our blockbuster crop protection product Rynaxypyr. We had a strong finish to the growing season in Brazil and took advantage of an early and robust start to the North American growing season to deliver exceptional results and Jim is going to provide more insights about our strong performance in these businesses. While our agriculture segment hit record levels, our performance chemicals segment, sales and operating earnings were down, in line with what we expected reflecting the widely communicated market adjustments underway in the global titanium dioxide market. While our results here were down significantly from peak levels last year, our titanium dioxide business are into superior cash return on invested capital and did so in the quarter. We continued to expect market conditions to stabilize around the middle of the year and we saw early signs of that in the first quarter, -- sales volumes or up 8% sequentially, from the fourth quarter of last year. In general uncertainty in industrial markets dampened customer demands in the other businesses. Specifically global automotive builds were down, particularly in Europe, Japan and Korea, additionally demand or material slowed into the photovoltaic's markets declined in China and public sector demand in the US remains soft. We continue to increase value by driving cost productivity, capitalizing on the integration of our recent acquisitions, launching new high-value products and actively deploying our science in fast growing, emerging markets by collaborating closely with leading local companies. Our cost productivity gains in the first quarter were firmly on track to meet our target of at least $300 million for this year. Our nutrition and health and industrial biosciences teams have fully integrated our Danisco and Solae acquisition. And we're exceeding our acquisition synergy targets. We have growth programs underway and are excited about the value creation these acquisitions will deliver going forward. Our new product launches in the first quarter continued to reflect the diversity and the richness of DuPont's science and technology capability as we apply innovation to address world needs by increasing food production and quality by improving energy efficiency and providing greater protection for people and the environment. We introduced more than 500 new products this quarter balanced between growth and replacement products and balance across our portfolio of businesses. In agriculture we introduced new products in seven crops across five continents that will increase agricultural productivity. DuPont is also actively collaborating with value chain partners globally through our 11 newly opened innovation centers. The most recently opened center was in Istanbul, Turkey this month and though these centers -- through these centers that DuPont science connects directly with current and potential customers to collaborate and develop new solutions to meet their needs. We have hundreds of new products underway and are excited about how we are activating our science to create value for customers and shareholders. In addition, I'd like to highlight that during the quarter we executed the $1 billion share repurchase program that we announced to you last quarter, and today we also announced our Board of Directors has approved a 5% increase in our dividend. Lastly, we are reaffirming our full-year 2013 outlook, which I'll address at the end of our call today, and so with that, I will turn things over to Nick, who'll take you through the quarter results in detail. Nick?
Nick Fanandakis: Thank you, Ellen. Good morning, everyone. Let's start out with the details of the quarter shown on slide 3. As expected, operating earnings of $1.56 per share were down $0.08 versus the $1.64 in the prior year. This decline reflects lower performance chemicals operating earnings of $0.26 per share, largely due to the decline in global TiO2 prices, and this was partially offset by record results from our agricultural segment. Consolidated net sales of $10.4 billion increased 2% versus the prior year. Volumes increased 2% led by our agricultural segment where volumes grew 8%. Additionally, 1% higher local selling prices were the result of value driven pricing in the Ag and Nutrition & Health segments, which were partially offset by declining TiO2 prices. Currency had a negative 1% impact on the top line primarily due to the weaker Brazilian real and Japanese yen. From a regional perspective, the largest local selling price increases in volume growth were seen in U.S. and Canada and Latin America where our Ag businesses flourished. In Asia Pacific, higher volume in our TiO2 and our packaging and industrial polymers businesses were offset by lower volume in our electronics and communications and chemicals & fluoroproducts businesses. The 6% decline in local selling prices in the region was primarily due to lower TiO2 prices. In Europe, lower volume was primarily due to poor weather conditions that delayed our Ag sales. However, Ag pricing gains drove higher local selling prices up but they're partly offset by lower TiO2 prices. This quarter, developing EMEA was our highest growth region, up 15% versus last year reflecting strong Ag sales growth in Eastern Europe. For more information regarding the company’s sales by geographic region please look at slide 4. Now let's take a deeper look into the operating earnings for the first quarter. New this quarter, slide 5 provides a segment operating earnings variance analysis. From this, you can see clearly the large impact the Performance Chemicals and Ag segments had on our overall earnings compared to the prior year first quarter. Our remaining businesses were impacted by continued uncertainty in industrial markets. Jim and Carl will provide more details about each of our businesses when they cover the segments. Moving to slide 6, you can see that the decline in segment operating earnings resulted in a $0.14 per share negative impact on the consolidated results. This $0.14 also includes a negative $0.04 currency impact for the first quarter. At current exchange rates, we expect the second quarter currency impact to also be negative by about $0.02 per share. For the full year, we expect a negative $0.05 currency impact with a $0.01 tailwind in the second half of the year. The $0.03 benefit from lower corporate expenses that you see on slide 6 reflects this quarter's savings from our 2012 restructuring program. We are on plan to deliver the $300 million in savings that we targeted for 2013. You will see the savings impact more of our results as we progress throughout the year. In addition to the restructuring program, we continue to execute on our cost productivity initiatives throughout all of our businesses. We are well on our way to delivering on our commitment of greater than $300 million for the full year from these initiatives. As a reminder, this is an addition to the $300 million of savings we expect this year from our restructuring program. In total, both will contribute significantly to offset inflation and help fund our growth investments. Turning now to the balance sheet in cash on slide 7. First quarter free cash flow was an outflow of $3 billion versus an outflow of $2.2 billion last year. As you recall, our working capital spikes in the first quarter due to normal seasonality of our Ag business. This increase in seasonal outflow versus last year's first quarter was due to lower cash earnings and higher Ag working capital, partially offset by lower pension contributions. The higher Ag working capital was primarily due to the timing of customer and production growing compensation payments, which were also larger this year due to higher commodity prices. In the first quarter, we executed a $1 billion share repurchase program which will be completed by the end of this month. We accomplished the share buyback by using a portion of the performance coatings divestiture proceeds, which we received in February. We used the remainder of the performance coatings proceeds to strengthen our balance sheet and this is the primary reason you see our net debt decreasing by $4.5 billion versus this time last year. Additionally, as Ellen just noted, we announced today that our Board approved a $0.02 per share or 5% increase to our quarterly dividend. This is our 435th consecutive quarterly dividend. In summary, first quarter results were in line with our expectations with strong growth in Ag more than offset by lower Ti02 prices. With that overview of the first quarter, I'll turn the call over to Jim to review our Ag and Nutrition & Health segments, Jim?
James Borel: Thanks Nick. The agriculture segment had a great start to what we expect will be another year of strong growth in both our seed and crop protection businesses, posting another new record for first quarter sales and operating earnings. Agriculture fundamentals remain solid globally, and we continue to execute to deliver results consistent with our long-term growth plans. Our results in both businesses were led by a strong start to Northern Hemisphere planting season preparations and a strong finish to the season in Latin America. On slide eight, sales in agriculture grew 14% to $4.7 billion with volume of 8% and price of 6% net of a small currency headwind primarily in Latin America. Operating earnings increased 13% to $1.5 billion. Volume and pricing gains were partially offset by higher input costs in seeds pressuring operating margins down slightly. Ag results included about $0.02 per share timing benefit to the first quarter operating earnings primarily due to the accelerated pace of North American corn seed deliveries as compared to last year. Starting with seeds, first quarter sales grew 14% to a record $3.6 billion. Corn sales in North America led the way as growers have signaled intentions to the USDA to plant about 97 million acres in the U.S. similar to last year. And we are seeing very strong demand for our corn hybrids following last year's strong competitive performance and our order book remains solidly ahead of last year. Adoption of our industry leading AcreMax integrated and reduced refuge are strong, and we're on track to deliver against our penetration commitments. We’ve also launched AcreMax Xtreme in 2013 and while introductory volumes are small, we're looking forward to growers experiencing the dual mode above and below ground products on their farms this summer. Growers across the corn belt have high interest in our AQUAmax Hybrids, which demonstrated a 9% yield improvement against competitors in water limited environments last year. Orders are exceeding our expectations and we now anticipate that AQUAmax will be planted on about 7 million acres in North America. We're also beginning to extend AQUAmax to Europe and initial interest there is high. Mix improvement from these technologies integrated into our newest genetics put us on track to achieve our plan of 5% to 10% pricing gains in North America. Last month, USDA Planting Intention Survey indicates growers expected plan about 77 million acres of soybeans, and while soybeans sales impact operating earnings more in the second quarter as they are typically planted later than corn, we are on track for another successful season with orders tracking similar to last year. Turning to Brazil, we continue to see the results of our multiyear investment in growth strategy paying off. First quarter for us is primarily where sales for the safrinha season impact our financial results. Growers in Brazil planted a record number of corn hectors in the safrinha planting season and it likely exceeded the summer season corn plantings for the first time. When a planting date is finalized we expect we will gain share following a multipoint gain - share gain in the 2012 summer season. Farmers in Brazil continue to adopt our newest technology at a rapid pace. New genetics, native praise and innovative solutions like intersect which reaches two modes of action of both ground insect control our creating value. We expect intersect products to represent about a third of our corn sales in 2013. And for the entire safrinha season we grew sales over 40% from higher volume and strong pricing gains. Our crop protection business had a strong first quarter also exceeding $1 billion in quarterly sale for the first time. Crop protection sales grew 17% in a quarter approaching $1.1 billion, volume gain with the primary driver that price also increase in each region on the strength of new product launches. Regionally North America led the growth with sales up 60%, in North America we saw a strong preseason demand across all product portfolios bolstered by high grower planning intentions and good crop prices. Demand for soybean preemergance herbicide was strong, we continued to experience strengthening mutual success with our go-to-market approach working together with Pioneer in the U.S. corn soybean market. We're very excited about the new launch of our picoxystrobin disease control product Aproach in the U.S., Acapela in Canada as leading contributors to our rapid growth in North America. We also saw strong Crop Protection, sales growth across Latin America with sales up 30%, insect pressure was intense and corn soybean is creating strong demand for our Rynaxypyr and indoxacarb insect control solutions. Rynaxypyr continues to grow in all regions in countries and we're on plan to exceed $800 million in sales this year. In addition, the new launch of Cyazypyr insect control products from same innovative classic chemistry as Rynaxypyr continues to deliver exceptional field performance results expanding our portfolio and breadth of insect control innovations. We continue to make investments in our leading crop protection R&D pipeline, and the first quarter results demonstrate our focused strategy for growth is working. As we look to the second quarter we expect sales growth similar to the first quarter anticipating a strong finish to the Northern Hemisphere grand planting season, we expect earnings to be up moderately despite the $0.02 per share impact from early North American corn deliveries in the first quarter. Additionally, we expect operating margins in the second quarter to decline 1 to 2 point versus the prior, year primarily from higher input prices and soybeans which represents a larger portion of second quarter sales. Lastly, we'll continue to make strategic growth investments in both businesses. Grower planning intensions are high, our order book is strong and we have good supplies of seed and crop protection products positioned in the market. Air and soil temperatures have been cooler in the early spring this year whether in the next few weeks will be in important factor and determining whether acres are planted as intended, we'll remain close to our customers through planting we're in the best position in the industry to meet change in grower needs. Now let's turn to slide 9, and review our Nutrition & Health segment which includes enablers, Health and Protection and Protein Solutions businesses. Sales of $868 million were up 7% on pricing gains and volume growth. Sales were particularly in the emerging markets growing double digits in all three businesses. Operating earnings of $76 million were down $3 million, the sales growth was offset by higher raw material costs primarily guar and enablers. Global market fundamentals remain solid and we saw pricing and volume gains across all three businesses, Health and Protection and Protein Solutions both delivered strong results in growing pricing volume laid by very strong probiotics and specialty protein sales. Productivity remains a clear focus and costs and operation synergies are on track with our plans. Turning to the outlook, we anticipate similar sales growth in the second quarter as demand indicators and market fundamentals remain solid and in line with the first quarter. Operating earnings in the second quarter are expected to be flat as high cost for inventory Enablers will continue to pressure margins partially offset by productivity efforts. As we look to the second half of the year we expect margins to improve as raw material costs normalized. Now we'll turn it over to Carl.
Carl Lukach: Okay, thanks Jim. I'll cover the remaining segments beginning on slide 10 with Electronics & Communications. Sales of $616 million decline 9% primarily due to lower sales into photovoltaics as market share gains were more than offset by reduced material usage by module manufacturers. Operating earnings of $49 million were down $10 million on the lower sales. For the second quarter, we anticipate sales will be down significantly and operating earnings down substantially versus a very strong 2Q last year. Although PV module production is expected to be flat for the year in the second quarter module production is forecast to be down 15% versus last year's strong second quarter when inventories were building. We also believe the trend have reduced materials usage at module makers will continue. We anticipated second half results will benefit from sequential increase in module production and stronger demand in consumer electronics driven by smartphones and tablets. Moving to slide 11, sales in our Industrial Biosciences segment were essentially flat at 289 million on 1% higher prices offset by 1% decline in volume. Strong demand and higher prices for Sorona in carpeting and growth in food enzymes were largely offset by lower enzyme volumes for ethanol. Operating margins are $41 million, were up 5% and margins improved on lower input costs and discipline costs management. For the second quarter sales are expected to be up modestly on new technology launches. Strong demand for Sorona expected to continue and growth in detergents and food enzymes partially offset by continued softness in ethanol. We expect demand for enzymes for ethanol to remain soft into the second half of the year until producer margins improved. Our operating earnings are expected to be significantly higher from sales growth and continued synergies. Now let's discuss performance chemicals on slide 12. Sales of approximately $1.6 billion, were down 17% due to 11% decline in price and a 6% volume drop. The decline in price primarily reflects lower Ti02 prices. All of the volume decline was attributable to Chemicals & Fluoroproducts reflecting a lower industrial demand and schedule plant shut downs. TiO2 volumes were essentially unchanged year over year, but up 8% on a sequential basis. Operating earnings decline 56% for $320 million largely in line with our expectations versus last year's peak level. Turning to the second quarter, operating earnings are expected to be down for substantially similar to the decline in the first quarter results. Due to lower year over year Ti02 prices. While demand patterns remain dynamic and evolving we believe Ti02 demand is stabilizing as the year progresses with improving industry fundamentals and the absence of customer destocking, while there is uncertainty about the timing and strength of a recovery, we continue to believe that the market will bottom around the middle of this year. Publish report indicate a gradual but steady decline in producer inventory levels. Coupled with stable to improving demand outlook it provides us renewed confidence that the sequential margin contraction experienced in the past three quarters is a big. Turning now to performance materials on slide 13, sales of $1.6 billion were down 3% with 1% higher volumes offset by 3% lowers prices. Sales of (inaudible) polymers grew 10% with strength in non food packaging and consumer applications providing top line growth for the packaging and industrial polymers business unit. Volumes in performance polymers declined 4% due to weakness in automotive sales in Europe and Japan partially offset by strong sales in China and ASEAN due to continue penetration at Kia OEMs. Operating earnings of $292 million increased 5% primarily due to lower feedstock cost. Higher sales volumes in packaging markets were partially offset by weak demand in Europe and Japan automotive markets. For the second quarter sales and operation earnings are forecasted to be essentially flat with auto built down in Europe, and Japan offsets by gains in North America and China. On slide 14, we'll cover the safety and protection segments. Sales were down 4% on lower volume in price primarily reflecting lower spending in the U.S public sector. As well as to continued uncertainty in industrial markets, operating earnings decreased $21 million, primarily due to weaker sales mix and lower plant utilization partially offset by productivity gains. For the second quarter we expect sales and operating earnings to decline modestly year-over-year, reflecting market conditions similar to the first quarter. However operating earnings and margins are expected to improve sequentially from the first quarter to the rest of the year due to our productivity action the U.S housing market rebound and improving demand in industrial and public sector markets. This concludes the segment updates, so I'll turn the call back to Ellen now.
Ellen Kullman: Great thank you Carl. Let me close by providing you with some insights about what underpins our outlook. Starting with the second quarter as Jim mentioned we did see about $0.02 per share timing benefit in the first quarter from an accelerated pace of corn seed deliveries in North America this will impact our second quarter. On the top line we expect second quarter market conditions to be similar to what we saw on the first quarter. Solid fundamentals and agriculture Nutrition & Health Industrial Biosciences as well as continued demand uncertainties from industrial market. On our bottom-line, we expect strong growth again in our agricultural segment and tough comparisons to prior year peak level in Performance Chemicals. Consistent with what we discussed in January, we expect the first half operating earnings per share will be about 7% to 9% lower than last year. Going to the full-year, we are reaffirming our full guidance of $3.85 a share to $4.05 a share which is a 2% to 7% growth from last year. Growth fundamentals in agriculture markets remained solid, and we expect our product lines to perform very well. As a result, we anticipate low teen growth in sales for the full year, from our agricultural segment. We expect the food and beverage industry to continue to general stable, global demand for our nutrition and health and industrial biosciences products and anticipate increasing our market penetration in these markets led by superior value propositions of our product offerings. For Ti02 as I mentioned, we anticipate supply and demand in the global market to stabilize around the year so in that point, resume a growth trajectory which has been tracked historically to GDP growth. We also anticipate improvements in demand in the second half from industrial market. This is based on our evaluations of country and regional forecast for general industrial production, auto production, home building and construction, solar module production and other markets. Data for these market show negative or no growth in the first quarter but a forecasted to grow several percentage points for the year. Examples include global auto builds, industrial production and Photovoltaic Modules production. This means, we will see sequential improvement in demand as the year progresses, which we're ready for in a positively impact many of our businesses, like protection technologies, performance polymers and chemicals and floor products. You will continue to see cost savings from our restructuring program and our ongoing productivity initiatives, which helps offset inflation and fund growth initiatives. And we are committed to these car brands and believe they are returning real value to our shareholders. And what remained stead fast on our current track of deploying our science to bring it consistent, steady flow of new product to global market that solve real market need. They offer strengthen our market position, improve customer satisfaction all at higher values for customers and shareholders. So in closing, our first quarter results were as expected and communicated to you three months ago. In addition, we reaffirmed our full year outlook we purchased $1 billion of stock, reduced DuPont's net debt 4.5 billion and raised our dividends, actions that reflect our priority and confidence and our ability to execute our business plans. It always comes down to staying close to the customers, understanding their underlined demand signaled and disciplined execution. Our indicators are signaling gradual improvement in demand as we progress through the year. So we must remain agile and quick to respond at customer demand improves, which is exactly what we will do. So Carl, back to you.
Carl Lukachfa: Okay, John we're ready to go to the calls and take our first question.
Operator: Thank you, and we I will begin the question and answer session. (Operator Instructions) Our first question is from Mike Ritzenthaler from Piper Jaffray.
Mike Ritzenthaler - Piper Jaffray: Good morning. In terms of outlook Ellen, I just wanted to clarify that the first half, I think it was previously down 3% to 7% and is expected to be down 7% to 9%, is that consistent with the message that you're trying to get across versus pervious or is that an artifact of the change in pension accounting?
Ellen Kullman: Yeah, so we never gave a number range in our January call. We said it will be down, I don’t remember the word we used….
Mike Ritzenthaler - Piper Jaffray: I think it was modestly.
Ellen Kullman: Right. So we're getting more specific based on the impact to the volatility of Performance Chemicals and some other factors like the higher commodity prices, and we thought it'd be helpful to you to get more specific at this point in time about the first half of the year.
Mike Ritzenthaler - Piper Jaffray: Ok. That makes sense. Thanks for clarification.
Ellen Kullman: So it's consistent with what we were seeing or thinking starting in January.
Mike Ritzenthaler - Piper Jaffray: Got it. Okay, then may be more detailed question to Jim, Monsanto has been on a partnering, licensing frenzy lately, including of course with DuPont, it appears that they will have the optionality through one or more of these agreements for all of the major next gen herbicides, you know, Liberty, Enlist, Dicamba and so forth in corn, soybeans, and other major real crops, can you walk us through DuPont's rationale on this subject and how important in Enlist and Dicamba is for corn over the next couple of years and do soybeans need a Dicamba trade as well?
Jim Borel: Sure. First of all, as you know, what matters to a farmer is a product that really performs and has the kind of flexibility and yield performance that they're looking for so. So, the agreement with Monsanto is a nice addition, it gives us additional product options and additional modes of weed control to be able to offer, and we expect that plus the stacking flexibility will help enable us to make even better performing products that will give more value to customers over time. So I think overall we feel really good about the opportunities that it allows us to pursue.
Operator: Our next question is from Robert Koort from Goldman Sachs.
Brian Maguire - Goldman Sachs: Hi, good morning it's actually, Brian Maguire on for Bob today. Question about the balance sheet. Following the divestitures of the coatings business, it significantly strengthened and with about $6.5 billion of cash, seems like you have a lot to deploy, we're just hoping for an update on how the acquisition pipeline is looking and what kind of acquisitions you'll be looking to pursue in this environment.
Ellen Kullman: Yeah, I mean thank you, Brian. We have been really consistent about how we talked about acquisitions. There are things that really have to advance, either our science or market penetration in key markets where we see our science is going to make a difference. So, I think you've seen that, whether it's in large ones like Danisco, or whether it's in small ones like Pannar, which gives us the opportunity to extend well into Sub-Saharan Africa with our agriculture segment or things like Innovalight, which give us the silicon ink that really enhances the efficiency from a PV standpoint. So, we continue to have a strong activity in the company looking at various areas; nutrition and health, agriculture, industrial biosciences, advanced materials where we think that it's either science and/or market penetration can help, and let me just be clear about what I'm looking for. I'm looking to create a trajectory or momentum. I'm looking to create a greater opportunity for our company by doing this, not just creating bulk, but really creating momentum. And so, we do see acquisition as being an important part of our growth plan going forward and continue to focus on those areas.
Brian Maguire - Goldman Sachs: Great. One follow up if may, just on the TiO2 business, it looks like your volume is up sequentially 8%. They were a little bit better that you were guiding for last quarter to be kind of flat. Do you think that you're taking some market share in there or is that just more a reflective of the overall market improving that much.
Nick Fanandakis: Hey, Brian this is Nick. I think when you look at what is going on in the TiO2, it's really playing out very much like we had anticipated. The destocking from our customer inventory levels that's at a normal basis now, so that is done. I think there is still some inventory levels from a producer side based on published data that's out there that suggests that that still has some work to be done, but it's moving in the right direction and it's in line with the statement when we say that we believe things will hit that stable normal level by the end of the first half of this year.
Operator: And our next question is from Vincent Andrews from Morgan Stanley.
Vincent Andrews - Morgan Stanley: Thank you and good morning. Ellen, if I could just ask you your -- you made a couple of comments about the outlook, and I thought I would try to tie two of them together, one was about second half improving fundamentally in general, and the second piece was, you said it was all about talking to your customers. and so I just wanted to see is the conversations you're having with your customers that are giving you the confidence in a better looking second half outlook and sort of leave aside agriculture relative to some of the sort of not so great macroeconomic indicators we’re seeing or some of the commentary we’re seeing out of other industrial and materials companies?
Ellen Kullman: Yeah so let me talk about the macro, then we will go down to the customer level. So if you think about industrial production only being up 1% in the first quarter versus what economists are continuing to focus on which says 2% to 2.5% for the year. If you think about automotive globally being down 1 in the first quarter, being up may be 1 in the second quarter, it's going to be actually up 4 in the second half of the year to meet the build, and so, there are the macro indicators there. Now, if you go down and you talk to automotive, if you talk to people down our value chain, they feel that there is just -- I wouldn't call it a great change, but a building of a little more confidence. And so I think that's what we are seeing, China infrastructure, for example, they have come out and -- their government has come out and said they're going to install 10 gigawatts of solar modules as part of their infrastructure this year. Now, we didn’t see any of that in the first quarter, but we see activity and hopefully that will lead to that and that will be good for our electronics business, and so we do see it coming from different ways. Now, again it's a wait and see basis, and I am a very practical person, I'd like to see it more tangibly, but all our forward looking indicators in that area are showing signs of sequential slow improvement, which at the end of day -- that's why the word values are cautiously optimistic.
Vincent Andrews - Morgan Stanley: Okay. That's helpful, thank you. And Jim if I could just ask you quickly, a question I get a lot now if USDA is right and corn goes to 480 next year. Could you speak a little just holistically about how you think that would impact sort of the germ plasm pricing opportunity for next year?
Jim Borel: Sure. First of all, even at that price, farmers are still incented to maximize yield. In fact you could say yield becomes even more important at a lower price. Technology adoption is still going to continue and that's a big piece of what drives price, and we should see in that scenario a benefit on COGS, so as long as we stay in a range that's profitable for farmers even the lower prices is not necessarily bad, it is still incentive to maximize productivity and that's where we hope farmers do.
Operator: Thank you. Our next question is from Don Carson from Susquahanna Financial. Don Carson - Susquahanna Financial Thank you. Nick, you used to provide sort of consolidated delta between EPS impact of price versus variable cost. So I just wondering what that’s the overall company and more specifically just wondering you haven't really commented on the cost situation in TiO2 so what's headwinds do you face this year on margins due to higher ore cost and lower capacity utilization?
Nick Fanandakis: Yeah, thanks. We've looked at Don changing our reporting system simplifying our report system, so we're no longer cracking inventory streams all the way through the chain to the consolidated level. Obviously, we though we continue to analyze this in depth at the plans where its more impactable with the data. You talk about TiO2and raw material cost there. Our ore cost are higher due to some of the legacy contracts expiring, but we're still very much in an advantaged position when you look at us versus our overall competitive base largely driven by our technology and our ability as we've said many times to consume the lower grade ore as well as higher grade ore to make higher grade TiO2.
Don Carson - Susquahanna Financial: Just a follow up, how much are you anticipating your TiO2 cost to be up this year?
Nick Fanandakis: The ore isn't going to be the major driver on the costs. If you look at the total company, you're probably looking about 3% to 4% range on rose.
Operator: And our next question is from David Begleiter from Deutsche Bank.
David Begleiter - Deutsche Bank: Thank you. Ellen, On TiO2 is just still as core as it used to be?
Ellen Kullman: David, how are you today?
David Begleiter - Deutsche Bank: Good, thank you.
Ellen Kullman: Good, I heard you put publisher report yesterday but anyway, asked question a lot, and as you know we continually evaluate all our business, just we expect them to drive innovation science into the marketplace to differentiate themselves from the competition and as you saw in our last couple years, if we find the business its not measuring up we take those decisions very seriously so I will talk about Ti02. We have advantage process technology gives us the sustainable competitive advantage no matter where we are in the cycle therefore we earn superior cash returns on our invested capital through the entire cycle and move well above our cost of capital even after trough so if we have strong cash flow so we can use that cash flow in many ways in the company whether it’s to invest in research and development or other growth investments. Counter balancing that is the volatility it is the cyclical business and the turns are very difficult to predict and I know that’s what drive everyone to the distraction. So we continually evaluate all of our businesses and as always we will do what's in the best interest for the shareholder.
David Begleiter - Deutsche Bank: Thank you, that’s helpful. And just Jim just on corn seed market share as a current USGA forecast where you see gain share this year or just whole share?
Jim Borel: Thanks Dave. First of all its way too early to start to comment about share since very little plan actually has been done but as I mentioned our order book is all of the ahead of last year we feel good with our position but what we need to get through the season to be able to be firm up what actually will happen with share?
Operator: Your next question is from Jeff Zekauskas from JP Morgan
Jeff Zekauskas- JP Morgan: Hi, good morning. The other income in the quarter was 92 million versus 14 in the year ago or I think about $0.06 benefit. What was that? And how does that affect the segment income that is how does that other income get reflected through the segments?
Ellen Kullman: So, I know that farmer was down 23 million quarter-over-quarter.
Jim Borel: We had some one time things last quarter that weren’t there this quarter in the way of sales that showed up another income Jeff.
Ellen Kullman: So let me get back to you but I don’t have the specifics right here, so we’ll comeback on that.
Jeff Zekauskas - JP Morgan: Okay great. Secondly, Safety & Protection has been now the strongest that might be, if what you do is you just [high wall] of the offshore operations in Safety & Protection and just look at the North American performance how did North American sales grow in the first quarter and how did North American operating income fair?
Ellen Kullman: Yeah, so, we can talk about sales but not operating income because if the fact of the matter is our plans most of them are located EMEA, United States and we do a tremendous amount of exporting out up in the United States in the other areas of the world. And in Safety & Protection in North America we’re seeing progression based not only on a continuation of our focused on commercial construction but the start up of some higher opportunities in housing starts and build both in the Korean and in the Taiwan product line. We’re seeing softness in the first responder and the military area in the United States that kind we’ve "one tenders" but they haven’t release the orders yet and how sequestration effects that we don’t think so and we do expect that to pick up as the years go on. So in addition to that we have the productivity efforts that are starting to come true when you will margin expansion in that area. So we have some positives from standpoint of construction we have some negatives like first responder that area net, net sales in the quarter or probably flat to up very modestly.
Operator: Our next question is from John McNulty from Credit Suisse.
John McNulty - Credit Suisse: Yeah. Good morning. Just a quick question on the Ag business you indicated there was a little bit of a pull forward I believe it was $0.2 tie to North American corn. But you also mentioned I guess in the prepared remarks that whether in Europe had pushed out some Ag business so was that $0.2 a net number or is there maybe a little bit of tailwind excluding that going into because of the European weather?
Nick Fanandakis: Yeah, that’s North America it’s larger impact. In Europe what we are seeing is its cold and wet so as it relates to see some of planning’s are delayed a little bit in terms of Crop Protection some of the winter crops some of the early sprays that where have been going on late in the first quarter haven’t gone, we'll see how the second quarter, how the season develops as we go into the second quarter. So but North America was by far the larger impact.
John McNulty - Credit Suisse: Great. And then just a quick follow up on the Nutrition & Health business, you had indicated that [Goar] was a headwind for you in your Enablers business. I think if we’re right on this Goar spiked up a lot last year and if we should be largely true that so I guess I am wondering how much inventory do you have left that, how much longer do we see headwinds here before that becomes what should be a pretty significant tailwind?
Nick Fanandakis: Yeah. We’re expecting to be through that during the second quarter as I mentioned and so as the second half progresses we should - that should larger be behind us.
Operator: Our next question is from Kevin McCarthy from Merrill Lynch.
Kevin McCarthy - Merrill Lynch: Yes, good morning. Couple of quick questions on Ag first for Jim, you indicated AquaMax targeted acreage up to 7 million now I think from 5 million previously, can you comment on the sources that upside whether that puts you in a sold out position for the year and how high you think that acreage can go at maturity for the product?
Jim Borel: First of all, as I mentioned we’re seeing great demand based on the performance last year and so we have big supplies, demand are strong, we have big supplies to fill that, it will see where it ends up as the season progresses. In terms of ultimate peak, we haven’t sized that but this generation is really aimed at areas that are particularly water stressed in the western Corn Belt. And so it’s aim that fairly targeted area. There is some upside as well in Europe that we’re starting to introduce it in some early interest particularly in France.
Kevin McCarthy - Merrill Lynch: The clarification that if I may on your implied guidance for the second quarter I guess $1.32 to a $1.336, you talked about timing issues, 1Q versus 2Q I’m wondering if the target for the June quarter reflects any expected timing issues in Ag out of the second quarter and into the third given the cool wet start to the planning season?
Jim Borel: Now, at this point we would expect this season to have normalize itself during the second quarter.
Operator: Our next question is from Chris Nocella from RBC Capital Markets.
Chris Nocella - RBC Capital Markets: Hi. Good morning. Regionally you had strong 4% volume growth in the U.S. how much was it up excluding Ag? And in Asia you had flat volumes of a pretty easy comp last year. So can you just kind of walk us through you’re seeing there?
Ellen Kullman: So we’ll start with Asia first. So in Asia volumes for flat it was a tale of two cities, developed Asia was down 5% on volume based on things like automotive builds in Japan and Korea seeing off substantially. And then we had obviously 5% growth in developing Asia with things like strength in India, strength in China and things like automotive. And so Asia was very much a mixed bag, so on average it was zero but it was a tale two cities and developing areas still making great progress, and then developed areas specifically Japan and Korea struggling. If you look at North America I'd say agriculture we’re pretty flat except for [Ti02]where we had a shut down that impacted some of our volumes there in one of our businesses. But it was flat to up one outside if Ag and I think that answers your question.
Chris Nocella - RBC Capital Markets: Thanks, it also seems like you’re having some challenges in some other parts of the firm is chemical segment as well. So I just wondering where your outlook for those businesses are in addition to Ti02?
Ellen Kullman: Yeah. So from refreezement standpoint we’re coming into season. Right, so second quarter is seasoned for refreezering, who are polymers, our volumes were of there and that scenario where there is I think industrial the slow down or I think uncertainty and industrial markets are impacting the performance polymers standpoint. You know about DDT, we talked about titanium dioxide and industrial chemicals and things like cyanide which is making great progress and things like anilines which we have some slowness due to our outage. So everything we see in the second half should pick up as industrial production picks up in this segment.
Operator: Our next question is from P.J. Juvekar from Citi
P.J. Juvekar - Citigroup: Yes, hi, good morning. The question on photo Voltatex you expect appears to be down substantially in second quarter but expect the second half recovery. Can you just tell us what's going on with the margin make up in China and how confident are you of this recovery?
Ellen Kullman: So what I would tell you is in PV confidence would not be the word I would use because it's bumpy and it has been bumpy, but we use the best external published data we have, we stay close with the module manufacturers and people down the value chain. And try to use the best information we can get in order to forecast. Now the second quarter of last year was a very strong year. I mean there was lot of over production in hindsight in that second quarter and that' why the cost this year were stating that in the second quarter that's going to be off some 15%, the module production will be off 15%. Worse we are forecasting the PV installed will be flat for the year, and so what that it means there has to be some progression coming through the year and it will improve in the third quarter and improve again in the fourth quarter, so Dave Miller who leave that businesses have some of the best data and in this area that I have ever seen, and we stay very close to it because it is as we said bumpy and that all indicators are now improvement through the second half of the year.
P.J. Juvekar - Citigroup: Great, thank you. On TiO2 quickly I think Nick you mentioned that inventories are declining. Can you just quantify that? And when do you see pricing improvement in the industry? Thank you.
Nick Fanandakis: Well, I will not comment on pricing per se, I'll comment on the market dynamics as a whole. And as I said when you look at the published data that’s out there around inventory levels, it would suggest that this probably still may be around 10-15 days of excess inventory at the producer level versus the normalized sort of state. And I believe that excess can be brought back in line by the end of the first half of the year or the second quarter. There is already been tremendous progress made in this area of moving producer level down towards the normalized level that I spoke of.
Operator: Our next question is from Frank Mitsch from Wells Fargo.
Frank Mitsch - Wells Fargo: Hey, good morning, Ellen. I'm big just Gordan fan and I am not seeing DuPont - I thought you handle that very well this morning - I do have question and it actually relate little bit to the balance sheet being so strong and in effect you guys went to marketing and got some cheap debt as well, and obviously you're looking at M&A but what are your thoughts about more balanced approach with share buyback as part of the mix as well.
Nick Fanandakis: Yeah Franc this is Nick. How are you doing?
Frank Mitsch - Wells Fargo: Great
Nick Fanandakis: Good. Hey when you look at the balance sheet, you're right we did reduce our debt level. Our net debt went from a year ago March $11 billion reduced about $4.5 billion this March largely driven by the proceeds from the DPC sales as well as productivity gains that we continue to drive in the company. Our target here Frank is pretty clear. We want to maintain a strong balance sheet, and I define that strong balance sheet as the AA2 rating. When you take into account as the credit rating agencies do the pension, the unfunded pension portion and you include that in product you're adjusted net debt calculation with the changes that we see now in our balance sheet and strengthening now with the proceeds we come to that position where I feel more comfortable around that AA2 sort of rating. That obviously gives us a strong balance sheet with the flexibility to do things that we find could be creating additional value whether that be acquisitions or capital projects et cetera. Keep in the mind - Frank keep in the mind we just did complete the $1 billion share buyback or will complete it end of this month.
Frank Mitsch - Wells Fargo: Alright, but not likely to see another program announce anytime in the near future?
Nick Fanandakis: Well, I have an ongoing program around here buyback that handles anti-dilutive effect and I still have $1.7 billion from board authorization that's available to me on that program.
Operator: Our next question is from Duffy Fischer from Barclays.
Duffy Fischer - Barclays Capital: Yes. Good morning. I just, Ellen if you could talk about year-over-year changes if you look at first half versus second half with your implied guidance, first half this year is down $0.25 of EPS, second half is up a little over $0.40 just triangulating those numbers, with ag being seasonally weak and being your best year-over-year performer, what are the big buckets of improvement in the second half where you can grow earnings so much more substantially versus the down earnings in the first half
Ellen Kullman: Well if you remember Duffy, the second half of last year was quite slow in the industrial market. And so those are markets will start there that we believe where we will see slow sequential improvement on so if you take a look at automotive being flat in the first half of the year being up 4% in the second half of the year, it's going to have a positive impact not only in our safety and protection business our performance power in those business and also our chemical and floor product business. If you think about US housing, US housing continue to build if you think about TiO2 reaching that bottom and from cyclical standpoint and starting to get back to GDP type of growth in the second half of the year, and a lot of these are predicted on what we're seeing, you know, one of the drivers is industrial production only 1% growth and industrial production in the first quarter and our economists and others that I [read] they're sticking with 2% and 2.5% for the year. So we need to see that modest sequential improvement in the areas that I discussed, plus to continue delivery against our plans in agriculture, in nutrition and health and industrial biosciences. We have plan there very specifically led out quarter-by-quarter and must say need to accomplish and we think that's how those numbers forecast being what you said.
Duffy Fischer - Barclays Capital: Okay, and then we spend a lot of time talking Ag and TiO2 because they move big incremental drive a lot, but if you separate all the rest to the company and you look at those five segments and strip out the commodities or take TiO2 out of performance chemical take the ethylene crack rather performance materials, in the first half five of these six segments would be down in our up earning looking at that without the commodity that's including Ag, so when you look across our broad based so was growth in the world, and that's one of thing when you talked to investor to get more portfolio you need to see that growth across a lot of these performance segments that doesn't seemed to be there now, so when you handicap that what's need to be done to get the rest of non Ag , non TiO2 to be DuPont going
Ellen Kullman: Right, I do think it seems like automotive production, it's down 1% globally so although we saw great up vying growth in China, we saw negative growth in Japan and Korea. And so going from flat year-over-year bill to plus 4% in the second half of the year is one of the key. I think that if you think about general industry you think about all of the areas that are going on up there, whether it's in aircraft production or in industrial side motor transport, if China does continue with their stated objective where they tend to go out to module installation in their infrastructure and things like their transportation sector which impacts us versus safety and protection and performance material we'll see enough lift in the second half of the year. And I think that's why I am cautiously optimistic. We've lot of external signs, we're starting to hear things through our value chain, we needed to that reflected it's so early in the year but I am cautiously optimistic
Operator: This concludes the Q&A portion of the call. And I'll turn it back over you Carl, for an update on Investor Day.
Carl Lukach: Okay, John, thanks. Thanks John for that, thanks everyone. I know you have another call to run to I just want to remind you that we are hosting our Investor Day next week Thursday May 2nd, 9 to 1 pm here in Wilmington, our headquarter we hope to see you there. Thank you very much your interest in DuPont, and the IR team will be available to answer any follow up question that you have in the call today. Thank you very much.
Operator: Thank you, ladies and gentlemen and that's concludes today's call. Thank you participating. You may now disconnect.